Operator: Good day, ladies and gentlemen, and welcome to Universal Display Corporation's Second Quarter 2025 Earnings Conference Call. My name is Sherry, and I will be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Darice Lu, Senior Director of Investor Relations. Please proceed.
Darice Liu: Thank you, and good afternoon, everyone. Welcome to Universal Display's Second Quarter Earnings Conference Call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Brian Millard, Chief Financial Officer and Treasurer. Before Steve begins, let me remind you that today's call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, July 31, 2025. During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now I would like to turn the call over to Steven Abramson.
Steven V. Abramson: Thanks, Darice, and welcome to everyone on today's call. We are pleased to deliver record performance in the second quarter with revenue of $172 million and net income of $67 million or $1.41 per diluted share. As we look to the full year, we are raising the low end of our 2025 revenue guidance range to $650 million to $700 million. The OLED market continues to demonstrate a robust long- term growth trajectory fueled by expanding product portfolios and increasing adoption across consumer electronics and automotive markets. While macro uncertainties may continue to persist, we believe that the OLED industry is entering a dynamic new phase of expansion, primarily fueled by growing OLED demand in tablets, laptops and monitors where OLEDs are estimated to be less than 5% of the current IT market. According to Omdia market research, OLED IT units are forecasted to more than double to 48.6 million units in 2027 from 23 million units in 2024. Smartphones and TVs are also projected to maintain their upward trajectory with anticipated growth rates of 11% and 10%, respectively, over the same period. Beginning next year, the first Gen 8.6 OLED fabs from Samsung Display and BOE are expected to come online, marking a pivotal shift in medium-sized OLED manufacturing capacity and capability. In addition, it was recently reported that Visionox Gen 8.6 OLED fab in Hefei designed with a production capacity of 32,000 plates per month is progressing ahead of schedule. LG Display approved almost $1 billion to boost its OLED technology capabilities and capacity at its Paju, Korea plant and Vietnam module facility. And TCL China Star is evaluating plans for a new Gen 8.6 OLED plant. Another driver of medium-sized OLED demand is automotive displays, which were highlighted at SID display week in May. On the trade show floor in San Jose, concept vehicles showcased the vision for the future of in-vehicle display technology, featuring innovations such as transparent sun roof and window display panels, slidable rear seat monitors and expansive pillar-to-pillar dashboards. Panel makers offered a glimpse of how OLEDs are poised to redefine the on-road experience for design, functionality and immersive visual performance. According to Omdia, OLED adoption in the automotive sector continues to expand, particularly among luxury brands and new energy vehicles. A market research firm projects automotive OLED display shipments will grow by more than 300% from 2.8 million units in 2024 to 9.1 million units in 2029. OLED technology continues to reshape design possibilities for consumer electronics. Also at Display Week, panel makers showcased array of foldable, rollable, stretchable and even polygonal displays. These innovations highlight the flexibility of OLEDs and its ability to enhance how users engage with devices across various categories. UBI research reports that with more OEMs anticipating to enter the foldable device market and existing brands planning to expand their foldable product lines foldable shipments are expected to more than double by 2029 compared to last year. On the R&D front, our decades of deep expertise and proprietary knowledge continue to fuel bold ideas and scalable solutions. From early-stage research to commercial volume production, we're advancing the frontier of phosphorescent OLED materials and technologies. Central to this effort is our proprietary AI/ML platform, which strengthens our discovery and development process. Established more than a decade ago, our internal computational team models molecular interactions at the atomic level, accelerating lead optimization and enhancing development pathways. This enables us to efficiently broaden our portfolio of next-generation reds, greens, yellows, blues and hosts to meet the evolving needs of our customers and the broader display in consumer electronics market. Our end-to-end innovation expands our leadership position and delivers technologies that support the OLED industry's growth trajectory. Regarding blue, as we noted in our May earnings call, the verification of commercialization level performance of blue phosphorescent OLED panels on a mass production line, by one of our customers marked a major milestone in our development journey. While the specific timing for the debut of our OLED Blue in commercial products will be guided by the OLED market, this achievement represents a critical step forward in our road map and underscores the significant progress we've made. We believe our phosphorescent blue is a game changer, not only for our customers in the broader OLED industry, but also for consumers and for us as a company. As we look across the broader market, consumer devices are becoming increasingly intelligent and interconnected driven by AI, 5G and always-on connectivity. This evolution is fueling unprecedented demand for energy-efficient technologies. Our universal OLED materials are at the heart of this transformation. Our broadening portfolio of power saving OLED materials and technologies helps extend battery life, reduce thermal load and enable next-generation features in smartphones, wearables, IT devices, automotive displays and more. And with our phosphorescent blue, we're poised to unlock up to an additional 25% improvement in OLED display energy efficiency, ushering in a new era of sustainable performance. On that note, let me turn the call over to Brian.
Brian Millard: Thank you, Steve. And again, thank you, everyone, for joining our call today. Revenue in the second quarter was $172 million, compared to $159 million in the second quarter of 2024. For the year, as Steve shared, we believe revenues will be in the range of $650 million to $700 million. Amid ongoing macroeconomic uncertainty, this guidance reflects our best current assessment. We now estimate that our 2025 ratio of materials to royalty and licensing revenues will be in the ballpark of 1.3:1. Our total material sales were $89 million in the second quarter compared to material sales of $95 million in the second quarter of 2024. Green emitter sales, which include our yellow green emitters, were $64 million. This compares to $72 million in the second quarter of 2024. Red emitter sales were $24 million. This compares to $23 million in the second quarter of 2024. As we've discussed in the past, material buying patterns can vary quarter-to-quarter. Second quarter royalty and license fees were $76 million compared to the prior year's $60 million. Adesis' second quarter revenue was $7.5 million compared to $3.5 million in the second quarter of 2024. Second quarter cost of sales was $39 million, translating into total gross margins of 77%. This compares to $38 million and total gross margins of 76% in the second quarter of 2024. We continue to believe that total gross margins for the full year will be in the range of 76% to 77%. Operating expenses, excluding cost of sales, were $64 million in the second quarter of 2025 and 2024. We now expect 2025 OpEx to decrease year-over-year by a low single-digit percentage. Operating income was $69 million in the second quarter, translating into operating margin of 40%. This compares to the prior year period of $56 million and operating margin of 36%. We now expect our 2025 operating margins to be at the upper end of our 35% to 40% guidance range. The income tax rate was 20% in the second quarter of 2025. We expect our effective tax rate for the year to be approximately 19%. Second quarter 2025 net income was $67 million or $1.41 per diluted share. This compares to $52 million or $1.10 per diluted share in the comparable period in 2024. We ended the quarter with approximately $932 million in cash, cash equivalents and investments. Our Board of Directors approved a $0.45 quarterly dividend, which will be paid on September 30, 2025, to shareholders of record as of the close of business on September 16, 2025. Our capital allocation program reflects our expected continued positive cash flow generation and commitment to return capital to our shareholders. With that, I'll turn the call back to Steve.
Steven V. Abramson: Thanks, Brian. Since our inception, UDC has been driven by a bold vision and the resilience to transform challenges into opportunities for growth. Through disciplined execution and a focused strategic approach, we've built a company that is agile, resilient and forward thinking. Over the years, we've remained committed to our growth framework. Anchored by a robust and expanded global infrastructure, a flexible and adaptive supply chain, deepening customer relationships and a steadfast dedication to innovation and product leadership. The strategic foundation empowers us to respond swiftly to change, anticipate industry shifts and continue delivering breakthrough OLED technologies and materials that are shaping the future of displays and lighting. I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. And with that, operator, let's start the Q&A.
Operator: [Operator Instructions] Our first question is from Brian Lee with Goldman Sachs. We lost Brian, so we'll move on to our next question, which is Jim Ricchiuti with Needham & Company.
James Andrew Ricchiuti: Maybe I'll start with a question on some of the discussion around the new form factors potentially for smartphones since I think you alluded to it, Steve, in your introductory remarks. How much benefit do you see, does the company see from a foldable phone, assuming we're going to see more of these hit the market versus traditional smartphones. I assume there's more content, but I wonder if you can give us some additional color on that.
Brian Millard: Jim, it's Brian. So we certainly do see incremental revenue; just based on the surface area and the square area of those displays. Depending on the type of foldable, there can be up to kind of close to 2 to 3x in that range, the material compared to a traditional single layer phone. So it's certainly a really exciting market and a growing market. So we know that our customers are very focused on the foldable market. Many in the OEM community are -- either have launched or are planning to launch foldable phones in the coming years. So it's a great market and one that we're monitoring very closely and supporting our customers in their development.
Steven V. Abramson: And Jim, I've been using the foldable phone since they first came out a while ago. And they're just great because I can use the phone with the main screen for normal conversations and I want to write a book or review a PowerPoint or whatever, I can just fold it out. So it's really the only phone I need to carry with me when I travel.
James Andrew Ricchiuti: It will be interesting to see how this market develops. Quick question on blue. Usually, you guys give some revenue numbers for the blue development emitter revenue. What was it in the quarter, can you say?
Brian Millard: Yes. We recorded $1.1 million of blue revenues in the quarter, so that's $2.2 million through the 6 months.
Operator: Our next question is from Martin Yang with Oppenheimer & Company.
Zhihua Yang: First question on contract research services revenue. This quarter is a little higher than normal. Can you talk about why?
Brian Millard: Yes. Thanks, Martin. The contract research revenue is the revenue generated by our Adesis business. So that's a business we acquired a number of years ago, contract research organization as well as a contract manufacturer. So -- they've had a number of recent successes with some customers that have resulted in increased revenues. So very pleased with their business year-to-date, and we expect good things going forward as well from Adesis.
Zhihua Yang: So that's a factor of their own customers doing better, which is not related to your core business. Is that right?
Brian Millard: Correct, entirely unrelated to our OLED business. They serve a number of companies in the life sciences industry primarily. And it's due to some of the manufacturing and CRO contracts that they have in that side of the business.
Zhihua Yang: Got it. A second question on the topic of AI and ML, you highlighted your long history of using those tools and techniques. Maybe can you give us a more concrete example of how using AI/ML have helped you to advance material research and benefit your customers?
Steven V. Abramson: Well, the OLED is a very complicated device. It has a lot of different physical and chemical and other scientific properties. By using AI/ML with the appropriate algorithms or algorithms, it can speed up the determination of what the most likely pathway for success would be. And we built up a very large OLED database for AI/ML and machine learning is pretty dependent on the size and the quality of the databases.
Operator: [Operator Instructions] Our next question is from Brian Lee with Goldman Sachs.
Brian K. Lee: I jumped on a little bit late, so apologies in advance if some of this has been covered, but the revenue guidance for the year. I mean you've had a really strong first half. So if you kind of back into the midpoint, it's implying kind of a flattish revenue line for the second half at the midpoint. I know last year, you had a pretty abnormal seasonal pattern of revenue given the product cycle in the first half of the year that was new. This year could you maybe kind of walk us through what you're seeing out there in the marketplace as to why seasonality, again, is less pronounced, less second half improvement than what you've historically seen? Or if there's any kind of conservatism being baked into just trying to understand what the seasonality is looking like.
Brian Millard: Yes. Thanks, Brian. Good question. So we -- as you said, certainly, the first half of the year has come in quite strong and a little bit stronger than we had originally planned for the year. And I think as we look at the rest of the year, we're hearing that the full year should be pretty close to what we had originally planned. And as we look at kind of upside and downside scenarios, we just felt like as we were preparing for this call in this release that there wasn't really a likely scenario where we're going to be in that bottom end. So it felt appropriate to raise guidance by $10 million on the low side. And I think we're hearing from our customers that they're expecting the rest of the year to continue to be as planned. So nothing is appearing of course. As we mentioned back on the May call, we did have some tariff-related buying that went on in April. So that was mostly pulling really from May and June, so all within Q2. Maybe a little bit of pull-in from Q3 but not a significant amount. But the full year still is very much on track.
Brian K. Lee: Yes. No, that's super helpful, Brian. I guess that was going to be my second question. I mean China, seasonally for multiple years in a row has always kind of been down for you in Q2 versus Q1. And China was outstanding in terms of revenue contribution for Q2. I presume they're the ones that were the bulk, if not all, of the pull-in in April. But even if you think about the pull in coming from May and June, it's just a lot of abnormal seasonality for that region. So what are your thoughts on like inventory? Do you have visibility into the channel there? Could they have pulled forward from -- you said maybe a little bit of Q3, but just given the volume of revenue that they contributed in Q2? Just wondering if you have any thoughts on kind of inventory as well as maybe it being more pull forward than you anticipated at the time when you gave that color.
Brian Millard: Yes. So we do get, I'd say, pretty limited information on inventory from our customers. I mean some anecdotal information here and there. I think an important thing to note is that our Chinese customers have always had pretty variable ordering patterns. So there's not really been a consistent pattern over a long period of time to look to point to. But based on what we know right now, we think, as I said, there was some tariff related buying in Q2. We think it was mostly intra-quarter, but we'll see how the rest of the year plays out, but we're hearing consistent feedback from the customers on what the rest of the year looks like in their forecast.
Operator: Our next question is from Scott Searle with ROTH Capital Partners.
Scott Wallace Searle: First, just wondering what you're seeing in design activity from a tandem architecture standpoint and what end markets you're seeing the most interest in activity? And second, in terms of overall capacity, I'm wondering if you could give us some updated thoughts in terms of where current industry utilization is at and then in terms of some of the new capacity coming online in 2026, we've got 8.6 Gen fabs from both BOE and Samsung coming on board. I'm wondering what that does to your overall industry capacity model? And what other big projects are coming behind that in '27?
Brian Millard: Thanks, Scott. So starting on the tandem question, the tandem architecture is primarily used to date in the IT and automotive segments of the business. So IT, as you know, is quite low from a penetration perspective and one of the key growth drivers that we see and the industry sees in the next few years. So right now, only approximately 4% to 5% thereabouts of the OLED displays that are -- sorry, of the displays that are produced for the IT segment are OLED. So we have a lot of growth opportunity and the Gen 8.6 fabs that you mentioned coming online next year will be key to adding more capacity to meet that demand in the IT segment. That additional capacity is -- we had estimated earlier this year that some of the additional capacity from end of '23 to end of '25, the installed capacity would increase by 10% to 15%. So that's kind of roughly part of that increase would relate to the Gen 8.6 fabs coming online. And then on the industry utilization, our customers continue to do quite well. They're all growing their OLED businesses. And we believe industry utilization is quite strong at this point. We don't have a specific percentage for you, but we're hearing positive feedback from our customers on their utilization. And I think the key thing for the next few years is the Gen 8.6 fab that we've been talking about from Samsung, BOE and Visionox, those are the 3 that have been announced and are moving forward. They all are kind of kicking off a multiyear CapEx cycle that we expect in the next few years in large part to meet the demand for the IT segment.
Scott Wallace Searle: Brian, if I could follow up quickly on the tandem architecture front in IT. Are most customers and most OLED designs implying a tandem architecture?
Brian Millard: I think it's going to be -- continue to be a little bit of a mix. Tandem is certainly a more complex and more costly display to manufacture. It really -- Tandem and IT really only started in the last 12 to 18 months, so it's relatively new. And there's been single layer OLED products in the IT market for a number of years now. So going forward, it's possible that maybe the tandem structure is used in more premium offerings, but we think we'll continue to see a mix going forward on both Tandem and single.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the program back over to Brian Millard for any additional closing remarks.
Brian Millard: Thank you for your time today. We appreciate your interest and support.
Operator: Thank you. This concludes today's conference call. You may now disconnect.